Operator: Welcome to the Medicover Q4 2025 Report Presentation. [Operator Instructions] Now I will hand the conference over to the speakers, CEO, John Stubbington; and CFO, Anand Patel. Please go ahead.
John Stubbington: Good morning, everybody. It's John here, and welcome to our Q4 results. It's another good quarter for us. We've made some good progress. We've got continuing strong performance, double-digit growth again, and we're seeing margin expansion, which is really, really pleasing. The performance remains strong. We're seeing that with good demand across all of our markets and particularly from our fee-for-service segment. Margins are improving and good cost control in place. So we're well positioned. We predicted a bit of softness in some of our lines in the previous quarter, and we have seen that, and we said that it would continue for a little bit longer. But we do see the beginnings of signs of recovery certainly in Q4. So we're watching this space as we go through to Q1. We've got continued organic growth and profitability improvements in Healthcare Services, particularly driven by our Sports and Wellness business and our ambulatory business. Our Diagnostic Services team, they've continued their momentum. They've got double-digit growth in all of the fee-for-service markets. and really strong volume tests that have increased. So well done to the team there. It's really great to see. We predicted that our leverage would come down, and we see that happening, so down at 3.1. And the Board has recommended a dividend increase, which I think really reflects our progress. On the right-hand side, you can see organic growth, 10.6%, which is really solid. We see continuing operating leverage coming through on our adjusted EBITDA plus 20.9%. So again, an encouraging sort of trend for us in the in the fourth quarter, different season, different quarter. And in terms of margin improvement, you can see that that's followed through as well with a really decent margin increase. Operating cash flow, very pleasing indeed, up 56%. So that's very good for us and a good quarter from that respect. If we move on and look at it from a different perspective in terms of our growth. We've got, as I said before, continued double-digit growth coming through the business. Again, just to remind everybody, this is despite the fact that we've exited Hungary. So when we take the Hungary figures into consideration, it increases even further. Revenue by country, there's a bit of a change in some of the numbers here, but Poland is strong, Germany reflects the reform change that we're going through that we're still navigating well, Romania, a decent return for us. And India, from a euro perspective, they're seen as 0. But from a local currency perspective, is up 15%, which is kind of in line with some of the comments that we made in the previous quarter, and we're seeing some good momentum, which we'll talk about later. From a payer perspective, it's relatively stable. If you look at Healthcare Services, Healthcare Services have got good revenue growth. 8.5% from an organic perspective going up to 11%, a good percentage of that coming from price, which reflects our position of when we've been dealing with inflation that we've not been scared to be able to show the power of our proposition and make sure that we get the right price to deliver the right services. So the team have done well there. India revenue, 14.7% in local currency. And remember, this is despite the fact that we had the strike in one of our main states in October. And momentum, which I think is the most important word for us when it comes to India. Our momentum is increasing. And I've always said that this is the business end of our journey in India when it comes to IPO and that we need to get our our figures into the right kind of order. And it's pleasing to see that the kind of doctor recruitment that we've done is now starting to see the first signs of maturity. Sports & Wellness, key contributor to the fee-for-service growth as well as the -- a bit margin improvement. So our move into that space has been very, very successful. If you look at our membership, our membership growth is relatively small. But of course, we've taken out one of our key countries in terms of Hungary in that journey. And we have to balance this up with how our business has moved over time, we're a much bigger fee-for-service business nowadays. And that's one of the reasons that we took the decision to share with you the customer relationship number within Healthcare Services. And as you can see, Q3 when we gave it to you the first time, it was 3.6 million. We're now up to 3.8 million. Growth on the right-hand side is good. You can see the revenue mix by country is, again, pretty stable. And from a margin perspective, we've got a very strong margin improvement in Healthcare Services, going from 15% to 17%. So really pleasing progress from the team. If you look at Diagnostic Services, the momentum continues. So congratulations to everybody in Diagnostics. Revenue increased by 13.5%. Organic was 9.3%. Price was a smaller part of the increase here. Remember, that's a big part of our business in Diagnostics is in Germany and the regulations on price in Germany were affected by the reform. We've got double-digit growth in all of our fee-for-service markets and that's been further supported by some [ public pay, ] particularly in Ukraine, who have had an incredible year and an incredible work considering the conditions that they operate in. So a big thank you to our team in Ukraine based upon the fact that doing a fantastic job despite the circumstances. Germany, private pay growth, again, we're seeing signs of that starting to move up as a consequence of the public funding changes. But overall, if we look at all of 2025 and consider the reform that happened in Germany, we've really navigated that position well. And we mentioned earlier that we've got strong test increases -- increased by 17.6%, which is a really good result for the team. So if we go across, we've got good growth in revenue. We've got a relatively stable revenue by country, but some really good increases in different lines. We still have a margin increase in Diagnostic Services as well, 17.3% from 16.1%, which again is really pleasing and here, you can see the lab tests starting to move up, and that would be strong. Some of this momentum, of course, is caused by [indiscernible] which has started to the SYNLAB -- the SYNLAB acquisition, which is starting to show through in our numbers. And as expressed before, we're fully on track now with our activities in that area. If we go and have a quick look at 2025. I think 2025 was a very strong year for us. We've made significant progress as a team. We've got organic growth of 12.7%. Our revenues of -- our revenues overall has growing 13.7% and really, really good. We've made excellent progress from an EBITDA perspective, good progress from a margin perspective, cash flow really good and a positive impact from a dividend perspective. So we've got a really strong track record in terms of stating the direction that we'll take over a 3-year period and looking to make sure that we outperform what we say. And if you remember back 3 years ago when we first went through these numbers, it was seen as quite a challenging position for us. We've navigated the German reform really well in 2025. I think we've got another quarter to go before we see the the full effect. The acquisitions we've done have been embedded very, very well. And as a consequence of that progress, you can see that our return on invested capital has increased quite nicely and getting into a more appropriate zone. So we're really pleased with that. And then if you look at the '23 to '25 targets, we're in a position, a very lucky position, a very privileged position. A lot of hard work has gone in to be able to deliver this, but we're basically saying from a revenue perspective tick, from an EBITDA perspective tick, from a leverage perspective tick and from a dividend policy perspective, tick. And then even if we look at our alternative measures, we've got a couple of ticks in the boxes there. So, it's nice to see so many things being ticked off and being achieved. But this is all history now. It's all part of our past. It's not part of our future, and we'll move on as we go through today and tomorrow to tell you much more about how we intend to improve on this over future years. So now I'll hand over to Anand, who will talk you through more of the financial details of the quarter. And I'll come on at the end, and then we'll answer the questions.
Anand Patel: Thank you, John, and good morning, everyone. So as John said, another solid quarter for Medicover ending FY '25. So from a revenue perspective, EUR 611 million which is double-digit growth on the total revenue -- on the total basis and also strong organic growth year-on-year, which has already been mentioned. In terms of profit measures, good year-on-year growth in terms of margin growth. hence, our EBITDAaL and the EBIT lines were growing faster than our revenues. So if you look at EBIT, for example, in the quarter, EBIT of EUR 35.2 million, strong growth of margin of 5.7%, which is 150 basis points year-on-year. And also another thing to note is, I would say, a net profit of EUR 17.3 million at margin percent of 2.8%. So strong flow-through of our revenues into the quarter. And the final profit metric I'll talk about is the EBITDAaL number because the leases are part of our cost base and how we grow our business. So EBITDAaL of EUR 57 million, up 30% with margin rate up 140 basis points year-on-year at 9.3%. So I would say, a solid quarter and in line with the messaging that John and I gave at the end of Q3. And if you look across the business units, it's again similar messages of growth that we saw in prior quarters, but not as pronounced year-on-year, I would say. So looking at Healthcare first, organic revenue up 11%, price driving 6%, volume driving 5%, EBITDAaL of EUR 72.5 million, growth of 23%, and John has already mentioned that we had margin expansion of 200 basis points in the quarter. So really pleasing. I guess I'll touch on the EBITDAaL loss on the immature hospitals. So year-on-year, the loss is slightly less, moving from EUR 3.3 million to EUR 3.1 million quarter-on-quarter, though as we basically opened a new hospital operationally, then the loss increased from EUR 2.7 million to EUR 3.1 million in the quarter. So I would summarize that as a good quarter for Healthcare and doing what we said we would do. In terms of Diagnostics, John has already said, it's a really strong performance by the team. So well done to them. So organic growth of about 10% with price driving 3% and volume driving 7%. We talk about Germany a lot. And I think even in Germany, still we still -- although we have the reduction in prices, we're still getting good strong volume growth in those -- in that market. From an EBITDA perspective, EUR 33.3 million, growing 120 basis points year-on-year to 17.3%. And as John mentioned, there's a good kind of move in terms of the FFS markets and the positive performance in Germany as well. I think from a payer mix potential. So in summary, a strong quarter to end the year in Diagnostics too. So if I wrap up the full year I guess, I would say, a stellar year in terms of consistent growth across both business units with double-digit revenue growth and profit measures growing faster than revenue, resulting in an improvement in margins. The other thing I'd add is actually a really strong performance in cash and a step-up on return on investment metrics too. Highlighting a couple of measures. So revenue just under RUR 2.4 billion, growing 13.7%, EBIT more than doubling to EUR 155.7 million at a margin rate of 6.5%, which is up 310 basis points year-on-year. And EBITDAaL of EUR 243.1 million, growing 40%, up 190 basis points year-on-year. All of the above are leading to a really strong EPS. So our EPS was EUR 0.514, up from EUR 0.112 last year. And as John has already mentioned, we beat the externally guided targets that we gave you for FY '25 across all measures. On this slide, you can kind of see what some of the other metrics are. So from a leverage perspective, John talked about it already in terms of 3.1%, down from 3.4% last year. and a reduction quarter-on-quarter as well as a good result. Effective tax rate of 26.1%, in line with what we had shared previously. And I would put out a really strong performance in cash on the quarter and the full year. So our net operating cash of EUR 100 million is up 56% year-on-year. And on a full year basis, it was EUR 343.7 million, which is up 31% year-on-year. And I think if you look at free cash flow, you can see that in the quarter, it was 8.4% of our revenue. So a really big step-up compared to prior year. The other thing I'd say -- sorry, I would say and that slide is actually a really strong improvement in ROIC. So you'll have seen that we started the year at 6.7% at the end of FY '24, and we've nearly doubled it to 13%. So kind of real gives comfort that actually as we expand our margin and invest in white space opportunity that actually the profit flow-throughs are flowing through and impacting our investment metrics. On the next slide, you can see where we are on CapEx. So CapEx in the quarter was just under EUR 57 million. So there's a bit of catch-up in CapEx from prior quarters. in terms of percentage of revenues. But from a full year perspective, we're about 6.7% of revenues, which is in line with what we've shared previously. And as you can see from the chart on the left, there continues to be clear white space between our free cash flow and our investment growth CapEx. So a good sign, and we expect that to continue in the future. In terms of the spend in the quarter, as expected, predominantly in Healthcare Services, which is a common theme from this year. And in terms of growth and maintenance split, roughly 72% was growth, 28% was maintenance, and that's broadly the same split for the full year as well. And finally, in terms of new medical space, so in the year, we added on 77,000 square meters. We ended at 986,000 square meters at the end of the financial year, and actually, we'll break past 1 million square meters in Q1. So in summary, a good quarter to end the year. In totality, a strong year in FY '25. And as John mentioned a year ago -- as John mentioned previously, a year in which we beat the targets that we set externally. So now looking forward, I'm pleased -- bear in mind most of the talking, we expect about the future in terms of our numbers and how we get there is expected to be tomorrow. Today is meant to be predominantly about the final quarter and only answering any questions. What the future targets are as follows and is in a similar vein, their 3-year targets, which takes us to the period of 2028. So to summarize, we expect revenues -- organic revenues to be in excess of EUR 3.25 billion. We expect adjusted organic EBITDA to be in excess of EUR 600 million, leverage to be under 3x -- at or under 3x, which is lower than the previous measures we've given a 3.5x. Dividends to be 50% or lower of net profit. And on an illustrative basis to help you with your models, you can see we expect to be EBIT to be in excess of EUR 290 million. So you can calculate the EBIT CAGRs from that based on where we are at the moment. So strong EBIT growth and adjusted EBITDAaL to be in excess of EUR 430 million. So you can see the targets that we've got. I think they're ambitious but challenging, but it reflects the strength of our business and the opportunity that we see ahead of us. And with that, I'll hand back to John.
John Stubbington: Thank you, Anand. And so in terms of key takeaways, 2025 is a strong year. We've successfully achieved our 3-year financial targets, which I think is very positive for us. We've got good organic growth and good -- well, very significant improved margins from both divisions and a really strong fee-for-service line, which is a good revenue stream for us. There is room for us to improve. We can -- we know that, we see that, and that's really reflected in our future targets. And we believe we can improve from a growth perspective, and we believe we can certainly improve from a margin perspective. We're in very strong markets where we've got the opportunity to grow the network that we currently have we can certainly develop some new products and some new areas of interest for our customers. And let's not forget that over a long period of time, we put a lot of investment into our business and increased our square meters for quite a period, and we still got capacity utilization to come. So looking ahead, we're entering a new phase, a phase where we enter it with from a position of strength. We're very excited, and we're looking forward to it. And so we're in a good place and just really to end with a big thank you to all of the people in Medicover, who have committed a lot to be able to achieve the numbers that we committed to 3 years ago and who will continue to commit a lot to be able to make sure that we do it again in 3 years' time. Thank you very much.
Operator: [Operator Instructions] The next question comes from Philip Ekengren from ABGSC.
Philip Ekengren: So I'll stay away from asking about the new targets and keep that for tomorrow. But just just on margins. So adjusted EBITDA margins up 200 basis points year-over-year. Could you give us sort of the key drivers behind that increase? And perhaps also if you can split up how much is operational leverage and how much is price so that increase, please?
John Stubbington: Well, from a price perspective, you can see it in the numbers that we've just kind of published. If you go through not only the quarter but for the year, you'll see that from a Healthcare Services perspective, the price component is much stronger and obviously from a Diagnostic Services perspective, it's a lot weaker. The increase from a Diagnostic perspective, the increase in the volume of tests, as we all know, with the Diagnostic business that -- once you put more tests through the lines that you've already got, it's quite a sweet position for you. So if the team continues to drive that extra volume, that extra volume will result in operational leverage and it's pretty similar in Healthcare Services, but not to the same extent of the margin increase. You've got to do a bit more volume from a Healthcare Services perspective to get the same kind of outcome in the financial numbers. But capacity in Healthcare Services, that's where most of our square meters has gone on. You've got a bit of mix in there as well. Q4 was a slightly strange quarter with all the holiday pattern as well that happened over Christmas, which is quite unusual. Lots of different factors in there, but certainly, price, certainly capacity, certainly a bit of volume. The usual usual levers that then have an impact on the model.
Philip Ekengren: Makes sense. And on India, it's continuing to show some double-digit growth in local currency. What are you seeing on the market starting so during January '26? Can you say something about that?
John Stubbington: Well, we usually talk about Q1 -- in the end of Q1. But I stand I can understand you're asking the question because it's such an important component of the the story that we've been talking about in recent times. If you look -- I'll make 2 comments on Q1 as I start to the year, is that if you look at Europe, there's been very strange where the partners hit us, which is very unusual in our key markets at the time, you've got minus 20-degree positions. And then, of course, in India, you don't get that. So India, I think that Europe will be affected a bit by that weather position. And I think that from a India perspective, I said earlier on, the key word was momentum, and that momentum that we said that would build in Q4 has started to build in Q4. And we expect it to build as we go through the year because that's what we need to be able to continue with Plan A. And we're certainly on Plan A from an IPO perspective and the team have done a good job so far. And then we'll see how Q1 turns out. It's always has a little bit of ups and downs in Q1 because of holiday patterns, et cetera. So we'll see.
Philip Ekengren: Appreciate it. And then perhaps a final one for me. So you mentioned some softness ahead of Q4 in the Q3 report on the call. And now you talked about some early signs of improvement. Could you elaborate a bit on that? Is it a change of the underlying sort of macro? Or is it your kind of mitigating factors that's working?
John Stubbington: Well, that's always a very difficult one to be able to quantify because as it moves it could be economic factors. It could be the fact that what we've actually done is resonating with the consumer. What we know from history is that when we've hit this kind of patch, it's taken us 1, 2, sometimes maybe 3 quarters to kind of like reprofile. And then we've reprofiled and pushed through. So I think we will get some positive impacts from an economic perspective where we're seeing this softness. And I think we will get our teams doing what they've managed to do over a period of time. It's just a question of how long that takes. Q4 versus our expectations was a little bit better than we thought. In Q1, let's see.
Operator: The next question comes from Julia Angeli Strand from Handelsbanken.
Julia Strand: I have a couple, and I'll start off with a question on India. So how much did the strike affect you? Was there a pent-up demand effect or more of a negative effect in this quarter?
John Stubbington: Well, it was negative on us, let's quantify against everybody remembers, this is in one state where for the Governmental Pay business, which is a smaller percentage of our overall, the -- every provider in that state basically didn't provide care unless it was an emergency for members of the public that we're entitled to it. This was because the local government had taken quite a long time to be able to settle all of their bills. It lasted for all of October, maybe a little bit longer, but certainly most of October. It did affect us. It did have a negative impact on us. I'm not going to quantify what that impact is. But we -- from our perspective, we've moved through that in the quarter very successfully. I think that's the important [indiscernible], it won't be there in Q1 because things have returned to normal for the time being. And we fully expect, as we -- as I said earlier, the momentum is a really key word when it comes to India, and we expect that word to be something that we talk about after Q1.
Julia Strand: Okay. Understood. And is it -- are you able -- could you disclose how much of the revenue in India that comes from mature hospitals?
John Stubbington: I don't think we've put that on public record. So I don't think I can unfortunately.
Julia Strand: Okay. Understood. But could you -- does that say something about when you expect the rich mature occupancy in India given the hospital facilities you have open today?
John Stubbington: So I'll frame it slightly differently. If you're looking at our occupancy journey and what will need to happen, I think we've been quite open and clear about that in many discussions that we've had in many different places. We have improved our occupancy, but it's never really been seen because as we've done that, we've opened more and more facilities and that suppressed things. The opening of the new hospital, which has happened in -- soft launch, which has happened sort of the beginning of the year, is the last major investment that we have planned and now we look to mature our occupancy rates. So it's a really key driver. It's one of the 3 key drivers that we talk about. The other 2 being doctor recruitment and the other one being the average revenue per occupied bed. So currently, we're below the 50s, before we talked about being on the 50s. So it all depends about the bed mix and what's happening. Now we fully expect if our momentum picks up in the way that we needed to pick up, we will see that occupancy start to move. If that occupancy moves even a 10% movement up for us will be a very significant impact on our operating model. If we go further than that, then it will be an even bigger impact. So we're at the business end. We realize that and the next couple of quarters are going to be key. So we're really looking forward to talking to you over the next couple of quarters about India.
Julia Strand: Okay. That's clear. And then just one last from me. How should we think about the fee-for-services in Diagnostics? Is this any indirect effect of German reimbursement or just a strong momentum?
John Stubbington: No. I think that the German market will need a period of time to mature when it comes to fee-for-service, we'll see signs of fee-for-service growth both coming from the fact that it's been reformed but also from a lifestyle perspective, consumers are wanting different things when it comes to things like antiaging, longevity, all that type of thing. So there'll be a mix change as well, and some of those things are not covered under the national scheme. But Germany will take quite a while, I think, before we sit here and say we've got a fee-for-service market in Germany. It will be more complementary when it comes to fee-for-service. And of course, if that line grows in Germany from a margin perspective, it should be good for the model. But the other markets that we have, they are mainly led by fee-for-service, and we're a strong player in those markets. We have a good proposition. We have excellent service. We have a broad base of tests that we can give to give to people, and we have great technology that provides a platform in that network for us to take advantage of things. So I think what you're seeing is some of that benefiting us and of course, the SYNLAB. The SYNLAB acquisition also benefiting us, which is driving some of the overall positivity. But it's positive. I think that's the key word there that those markets are very positive for us and doing really well. And as I said before, congratulations to the team.
Operator: The next question comes from Mattias Vadsten from SEB.
Mattias Vadsten: I have a few here as well. First one, India again, so rephrasing it a bit, perhaps. So it must have improved quite a lot through the quarter. So what is basically the key contributor here? Am I correct to say the key is that you have removed the bottleneck from lack of talent to care for patients through good recruitment? Or is it sort of something else that you want to add to that? Or how should we think about it? That's the first one.
John Stubbington: Yes. I mean, we said in the previous quarter that we focused a lot on retention and recruitment. And in that previous quarter, we also said that when you bring some of these doctors in, they're very good doctors, but it takes a period of time for customers to realize where they are, where they move to, and it takes a period of time for our excellent marketing team to get out there and spread the word, et cetera, et cetera. So recruitment is definitely a key part to it for us. And then there's other things from an operational leverage from our model in India, once you increase the revenues, it starts to get really, really positive for us. And we've put a lot of technology changes into India as well, which stops some of the revenue leakage in the patient flows, there's a lot of developments that's going on in India. But the key one, you're right is doctor recruitment, doctor retention.
Mattias Vadsten: Perfect. And then Germany, just if you could provide some commentary on the EBITDAaL margin movement in 2025 as a whole. So we understand just...
John Stubbington: I'll hold that until tomorrow, Matthew. I think there's -- there'll be something tomorrow that shows you that over a couple of year period. The only comment I'll make about it, I won't go to specifics. I'll just say, if you look at Germany over a 2-year period rather than just a year of reform, it's a very positive position for us. And I think we'll share that tomorrow.
Mattias Vadsten: Okay. Good. And could you -- I guess we'll come back with this as well tomorrow. But could you give sort of high-level commentary on the anticipated CapEx to revenue ratio through 2028 and sort of a rough split between the segments?
Anand Patel: Yes. Yes, Mattias, it's Anand. So I guess we continue to see opportunities to invest. So I would assume, if I were you guys, I would keep roughly the same percentage of revenues as organic CapEx spend over the next 2, 3 years. And I would envisage that broadly speaking, the split would be geared towards Healthcare more than Diagnostics as well. So that's our view and what we can say for now really.
Mattias Vadsten: And one last one for me. A short one. How did seasonality with Christmas and so forth impact margins in Q4 versus last year?
John Stubbington: Yes. The holiday pattern was very frustrating for us because for those that didn't work it out, you only had to take a few days holiday and then you were off for about 3 weeks, I think. So there was definitely a slowdown that occurred. And that slowdown in terms of people returning post-Christmas also was a longer period for us. But I think when you look at our Q4, if that hadn't happened, in our Q4, I think would have been even stronger. It's hard to say exactly the position that we would have been in, but roughly, our Q4 -- from our point of view, our Q4 is kind of in line with where we expected it to be, if not a little bit better in terms of some of the things we were navigating with standards in good stead. So it was there. It's just one of those things. It's not one of those things that happens every single year. We just have to navigate it, move on. And in our long-term journey and our long-term objectives of what we want to do, I don't think we'll be talking about Christmas 2025 too much in our future.
Operator: The next question comes from Kristofer Lijeberg from Carnegie.
Kristofer Liljeberg-Svensson: Two questions. is it possible to maybe comment about the cost synergies from the SYNLAB acquisitions and how far you have come with that?
John Stubbington: Yes. I mean, we have obviously gone through a full cycle of a complete year of seeing the benefits of this. But in terms of the acquisition and post-acquisition implementation plan, we are almost complete from a SYNLAB perspective. The things that we've got left to do are things that are left to do based on the fact that the time line would take us a little bit longer. So things such as our purchasing coming together and getting the benefits of that, things in terms of any duplication that we had that needs to be resolved and things such as systems and things such as sending some of our more advanced tests to centralize in Romania or Germany, those kind of things are super well progressed. So from a maturity curve against ambition versus activation, the team are almost complete. Now we've got to just make sure that comes through positively in our numbers as we go through the course of the next 12 months.
Kristofer Liljeberg-Svensson: But is it possible to quantify the cost savings and how much more of that we should expect in 2026?
Anand Patel: No, I'll take that one. So not now. I think what we will do is in the annual report for the first time when we report that, you'll see the split of the revenues and net income between CityFit and SYNLAB. So you'll see the numbers in there in terms of how they're flowing through into profitability. We're not sharing that in this Q4 interim statement. But as John said previously as well, we've said that the Sports business we bought had a strong start and carried on, and that's fair to say that's happened. And from a SYNLAB perspective, still lots of opportunity there, but we had a slower start. So -- but we're catching up now, as John said, and we're getting to the run rate where we need to be in terms of delivering on synergies and the profits that we expect, although they're both still accretive versus the underlying Medical business is what I'd say. So in the annual report, you'll get a bit more information about it, and that's all kind of we can set on that.
Kristofer Liljeberg-Svensson: Okay. And then my second question, the margin outlook here for 2026. And the reason I'm asking is, of course, to see the Q4 margin, it was lower than the full year level for 2025. So how -- or could you say anything about how we should think about 2026 margin and particularly maybe in the first half of the year?
John Stubbington: Yes. I think the first half of the year for us, the first half of the year for us with the softness and whatever, that we'll need to navigate that. We don't disclose margins by quarter or give forward projections on these things other than our midterm targets that we've said. But I think if you look at from a midterm target perspective, we're confident over the next 3 years that we'll build an even stronger business model. And we've mentioned weakness -- started to mention that in Q3, saying we're going to have to navigate it over a few quarters. So I mean, that sends a slight message, and we'll see how it goes. But we're positive that we can move our margins up over a period of time because we've got some levers that we feel we can pull. So it's -- we're in a good position, although we don't disclose it.
Kristofer Liljeberg-Svensson: Okay. But if we just take the seasonal effects that was discussed here previously. So just from a seasonal perspective, Q1 versus Q4, is that a stronger margin in Q1 than Q4?
Anand Patel: Yes, it will be. So Q4, I think, particularly given the mix in the sports business is a bit a little bit low in terms of how the margins flow through from a profitability perspective. So yes, that would be better. But remember, as I've said, in prior quarters, we had stellar margin rate growth in Q1, Q2 and Q3. So we've got strong comps to anniversary as well. So yes, the seasonality levels out in terms of the movement, but strong comps to offset that.
Operator: The next question comes from Kane Slutzkin from Deutsche Bank.
Kane Slutzkin: Just a quick one on Germany. On Germany, you mentioned you're seeing volume growth there despite the reform. Are you seeing sort of competitors being sort of squeezed out there? Is this sort of volume share gains? And then how much of the margin expansion in the Diagnostics business is coming from sort of a shift towards more advanced testing and things like genetics versus the sort of more standardized testing?
John Stubbington: Yes. I mean from a German market perspective, we fully -- what we talked about reform all the way back in the early quarters of 2025. We talked a lot about the tail and that reform always always ends up cutting the tail of some of the smaller competition, and we fully expect that to come through. So again, from a -- when things -- when change comes like this, people want to try and trade out of it and then eventually the -- some of them realize that they can't. So I think there's more to come yet. And then from an Advanced Diagnostic perspective in our German model, our German Advanced Diagnostics, which includes -- included generically, with our Genetics business is a strong part of our proposition, and we'll show that a bit more tomorrow in terms of how that works and why that's important for us. And we do see growth in that particular area. And we have in 2025, invested further in that area because we firmly believe it's a strong place for us to be that we can do -- we can grow quite strongly. So I think you'll see more -- let's talk about that more tomorrow that will give a bit more of a flavor to it.
Operator: There are no more phone questions at this time. So I hand the conference back to the speakers for any written questions and closing comments.
Hanna Bjellquist: So we've got a couple of other questions. In the report, you notice you see the recovery members addition, could you elaborate more what is driving this recovery?
John Stubbington: Yes. I mean from a member perspective, we have to put everything into context. Our biggest membership business is Poland, is much smaller in Romania. But our Polish position as we -- over -- if you look back in history, over the last couple of years with the extreme inflation that we were having, our focus was very much on making sure our business model was robust and that our pricing was appropriate and that we could deliver high-quality services to our customers as a consequence of the pricing position. We didn't take a stance to say let's use this to drive a high volume of membership growth, and that's what you've seen. The inflationary position will still be relatively high, but not super high as it was. And our focus will move more towards building membership. And again, a bit tomorrow, you'll see some of that, but also I'll mention today that some part of that will be about product developments and how that product development can increase our membership. And we've done some of that already, and we see some early signs of success on some of that product development, and we see some good pipelines being developed. So we're back into a different kind of mode as we go through '26, '27 from a membership perspective. But also, I'll counter that with -- if you look at our business mix now, we've got funded members and we've got fee-for-service members, and you can see extreme increases in our relationships that we have from a consumer perspective, which will -- also standards in good stead. So I think we're reasonably well placed on both lines.
Hanna Bjellquist: And what scope do you see for pricing of Healthcare services for 2026 in view of the more challenging Q4 '25?
John Stubbington: Yes. I mean we'll take our normal pricing position, which is the appropriate pricing will be put in place based upon the -- what we see in terms of utilization and what we see in terms of medical inflation. And if we go back the last couple of years, our pricing has been a little bit higher. You would expect it to kind of normalize positions we had before. But we are not an organization that will discount price to get volumes. We're an organization that wants to price appropriately, so that we can add value to the customer and have a nice balance between them paying as an appropriate fee and us delivering a fantastic service to them.
Hanna Bjellquist: And the last question, would it be possible to mirror the sport wellness success in Poland in other markets? Or is it very particular to just Poland?
John Stubbington: Currently today, our focus is very much on Poland. It's been a fantastic addition to our portfolio. Our customers appreciate the diversity of the proposition that we can now give them in Poland. There's a slightly different pricing dynamic that comes into play because Poland has the funds from the businesses, the independent funds that can be used for social funds, which aren't necessarily available in other countries. And we've got quite a big expansion to do in Poland. So we've got laser focus on Poland at the present.
Hanna Bjellquist: And the final one. If you look at your last page and where you talk about where growth will come from, how do you look at the split between network expansion product...
Anand Patel: I think John kind of broadly answered that on Page 6 of the pack. So if you look at Poland, that was 16% growth year-on-year in the quarter. The majority of that growth was driven by Sports and Wellness, which we mentioned already. And the other material areas of growth in the quarter in Healthcare were in Romania. So obviously, we've got remaining hospitals in Healthcare. So that's probably it.
Hanna Bjellquist: That was the final question.
John Stubbington: Okay. Thank you, everybody. Thank you for the questions. Really good session. We're really pleased with the quarter that we've had. We're really excited about the targets ahead they're challenging, they're ambitious, everything that Medicover was about. So we're very happy to take those on board and looking forward to developing the business forward to be able to to achieve them. For those of you that are joining us tomorrow, we look forward to seeing you whether you're face-to-face or online, and we wish you a good day. Thank you very much.